Operator: Good day. Thank you for standing by and welcome to the Hamilton Beach Brands Holding Company’s Second Quarter 2021 Earnings Call.  I’d now like to hand the conference over to Lou Anne Nabhan, Head of Investor Relations. Thank you. Please go ahead.
Lou Anne Nabhan: Thank you, Blu and good morning everyone. Welcome to our second quarter 2021 earnings call and webcast. Yesterday, after the market closed, we issued our second quarter earnings release and filed our 10-Q with the SEC. Copies are available on our website. Our speakers today are Greg Trepp, President and Chief Executive Officer and Michelle Mosier, Senior Vice President and Chief Financial Officer. Greg and Michelle will discuss our second quarter results. Also participating in the Q&A will be Scott Tidey, Senior Vice President, Consumer Sales and Marketing. Our presentation today includes forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in either the prepared remarks or during the Q&A. Additional information regarding these risks and uncertainties is available in our earnings release, our 10-Q and our annual report on Form 10-K for the year ended December 31, 2020. The company disclaims any obligation to update these forward-looking statements, which may or may not be updated until our next quarterly conference call, if at all. And now, I will turn the call over to Greg.
Greg Trepp: Thank you, Lou Anne. Good morning, everyone. Thank you for joining us. I will begin with our second quarter results. After delivering a strong performance in the first quarter, our second quarter results fell short of our expectations. We were very pleased that our top line momentum of the past two quarters continued. Our revenue grew nearly 12% and we experienced broad-based strength in all markets. We are disappointed, however, that profitability decreased significantly. The decline was primarily due to significantly increased inbound and outbound transportation costs, resulting from disruptions throughout the global supply chain. An ongoing dramatic rise in ocean shipping container rates accelerated during the quarter and continues to do so, and carrier storage charges increased. We continue to experience cost pressures and disruptions caused by container shortages, port congestion, crowded rail yards and a shortage of drivers and chassis in the domestic trucking industry. We also experienced higher material and labor costs. As we stated in our previous earnings call, we expect the transportation congestion and supply chain disruptions to persist. However, the external environment changed more rapidly than expected, and volatility has been far greater than our expectations. While our second quarter results were not what we planned our team performed very well under very difficult conditions. I am very proud of and grateful for their tenacity and resilience. We believe that the many steps our team has taken to manage through the challenges will benefit us in the second half of the year. I will discuss those steps in a moment. While these challenges have escalated in recent weeks and are expected to persist in the near term, we expect them to normalize over time. More importantly, we firmly believe their current impact does not reflect the fundamental health of our business or our long-term prospects. Our brands are healthy, and we continue to see robust growth. Demand for retail and commercial small appliances remain strong. I will provide more details on revenue and markets in a moment. For now, the unprecedented demand is a two-edged sword that continues to cause significant near-term challenges throughout the supply chain. Let me review our near-term challenges. Transportation, supply chain disruptions continue, record shipping demand from all importers, along with a shortage of ocean shipping containers, is causing dramatically rising rates as well as longer transit times. Our view is that the current challenges are compounded by the annual inventory building period ahead of the peak holiday selling season. We think that when the holiday stocking is completed later in the second half, the disruption should begin to moderate. We are focused on importing all the inventory we can to meet the strong demand while balancing the challenges of doing so at a reasonable cost. Material and labor costs are increasing. As expected, we were seeing an escalation in product costs due to rapidly rising material costs and the recent devaluation of the Chinese yuan. Unexpectedly, labor costs have also increased, particularly for warehouse personnel, as the high demand for these resources have escalated rapidly. We are addressing constraints with third-party manufacturers. Other supply chain constraints have increased as demand from us and our competitors has been running at higher levels than our third-party manufacturers in China can handle. Further challenging our suppliers is the impact of shipping container shortages on our ability to efficiently move finished goods out of their factories which, in turn, affects their production capabilities. Our move to our new distribution center is adding complexity. For our company, we had begun a planned relocation of our U.S. distribution center during the second quarter. Our move from Olive Branch, Mississippi to nearby Byhalia adds additional complexity to our operations. The move is continuing in the third quarter and is on track, but it adds complexity until completed. We expect to incur about the same level of expense in the third quarter as we did in the second quarter. Importantly, let me discuss our mitigation strategies. We are taking many steps to mitigate the supply chain issues and rising cost challenges. We are fortunate to have an experienced strong team to lead us as we strive to maximize our ability to meet record demand. Our mitigation strategies include pricing actions, negotiating with carriers for container space and rates, working with our suppliers to minimize constraints and collaborating with our retail customers. Our first phase of price increases went into effect in June and July, with timing varying by market. These increases will benefit our second half results more than it did our second quarter results. As the challenges in the second quarter accelerated, we decided additional pricing action was required, and that will be in effect this month. If additional pricing is required, we will balance the need to cover rising costs with the need to remain competitive. We never take pricing actions lightly, and we understand they cause trust for retailers and consumers. Our discussions with customers have been constructive as they are experiencing the impact of rising costs in their own operations. Depending on the rate of continued cost escalation, price increases may not fully offset in the short term. We have taken additional steps that are alleviating pressures in the supply chain. In China, we have moved some product to nearby warehouses to free up supplier space and capital so our suppliers will produce more for the coming holiday build. We are working with our retail customers for more products to be shipped through direct import programs when possible. At our U.S. distribution center, we are maintaining peak season staffing, and we are adjusting labor rates as necessary to attract and retain personnel. I’d like to now shift to a discussion of market demand and our revenue performance. Our top line performance this year has been strong. Earlier in the year, revenue growth was driven by increased sales in our U.S., Canadian and Latin American markets. In the second quarter, we were pleased to also see growth in our Mexican and global commercial markets as they continue to rebound from last year’s COVID-driven demand weakness. In our U.S. consumer market, while the growth rate moderated compared to last year’s dramatic demand surge, revenue was in line with last year, underscoring continued strong demand. In the Canadian market, sales also were in line with prior year despite a new COVID-driven retail lockdown during the quarter. As stores reopen, we expect a return to sales growth. In the Latin American market, demand strengthened further. Sales increased significantly and exceeded our expectations. In the Mexican market, demand strengthened considerably compared to last year and sales increased significantly. In the global commercial market, sales growth exceeded our expectations and revenue grew by almost 80%. The very important message here is that demand is very strong across our entire company. Our strategic initiatives are playing an important role in our revenue growth. E-commerce channel penetration remains strong at 32% even as consumers have begun to shop more in stores and brick-and-mortar channel sales strengthened. Sales of our premium products increased 35% in the second quarter. I’d like to spend a little time on our new strategic initiative, which is to expand our presence in the large and fast-growing home, health and wellness market. These programs should benefit Hamilton Beach for years to come. During the second quarter, we announced 2 strategic partnerships that support this goal. First, we are partnering with The Clorox Company to launch a new line of air purifiers under the Clorox brand name. Secondly, we are partnering with HealthBeacon Limited where we are the exclusive marketer and distributor of a smart injection care management system in the U.S. and Canada under the new brand name Hamilton Beach Health. Let me describe in more detail our partnership with Clorox. The air purifier category is growing, has been growing for years. And in fact, if you look at 2020 over 2019, the growth was 78%. The growth was driven in part by the pandemic and concerns about indoor air quality. And it was also driven by one of the worst wildfire seasons and one of the worst allergy seasons on record, all conditions that persist. Clorox, of course, is very focused on disinfecting and removing germs and killing germs. Hamilton Beach has a lot of strength around sales, manufacturing, distribution and has all the relationships where air purifiers and sanitation devices can play. We will be sourcing and marketing the new line of products with online and in brick-and-mortar. We will launch our first products later this year and we will have many products to follow in 2022 and beyond. So we feel like this is a great opportunity to really leverage our capabilities of being able to bring small appliances into these channels and the great brand that Clorox offers. Turning to our partnership with HealthBeacon Limited, they are a leading developer of smart tools for managing injectable medications at home. HealthBeacon is headquartered in Dublin, Ireland and they have achieved great success in several global markets. They needed a partner to expand quickly and efficiently in the U.S. and Canada and we are very excited to partner with them and do business under our new brand name, Hamilton Beach Health. HealthBeacon developed the world’s first and only FDA-cleared Smart Sharps Bin that intelligently helps patients with a broad range of treatments for chronic conditions. The bin itself works in combination with an app. The total system provides medication management reminders, tracks adherence provides for the safe and convenient disposal of used sharps. The partnership will leverage our brand equity, our leadership in marketing and distribution and our retailer relationships. We look forward to helping make it easier for patients in the U.S. and Canada to manage their injectable medications, stay on track with their treatment schedule and safely manage the disposal of their used sharps. We plan to continue to expand our presence in the home health and wellness market. We have a number of discussions underway and expect to make additional announcements this year and next. In summary, on the one hand, we are fortunate demand for retail and commercial small appliances remain strong. Our brands and products are selling very well. On the other hand, the current operating environment industry-wide remains challenging as persistent supply chain disruptions and ongoing materials and labor cost increases create much uncertainty. At this time, visibility is limited, and we’re working to gain a deeper understanding of how these dynamics are going to play out, especially as our industry heads into the peak holiday selling season. Our focus is to ensure product availability during the holiday season. We are leveraging all our resources and expertise as well as our relationships with suppliers, customers and freight vendors to meet demand as we continue to manage through constraints that most industry participants believe will continue for the rest of this year and likely into next year. We are also monitoring the ongoing global pandemic, especially how the Delta variant evolves. I’ll now turn the call over to Michelle.
Michelle Mosier: Thank you, Greg and good morning everyone. Let me review our second quarter results compared to prior year. Total revenue increased 11.8% to $154.7 million compared to $138.3 million. Greg provided a lot of detail on the revenue performance. I would like to underscore that demand remains strong in all our markets. In our U.S. and Canadian markets, our two largest markets, revenue held steady compared to last year’s strong pandemic-driven growth when consumers sheltering at home purchased more small kitchen appliances support their needs for meal and beverage preparation. This performance demonstrates that strong consumer demand for small kitchen appliances in our largest markets continues. In our Latin American market, the momentum from the first quarter continued as this market continues to rebound from pandemic-driven demand weakness. We were especially pleased that revenue in our Mexican and global commercial markets turned positive for the first time since the COVID pandemic started as they both continue to rebound strongly. While the unprecedented consumer demand for small kitchen appliances has provided an abundance of opportunity for our industry and our company, we are operating with some major challenges. In the second quarter, we experienced significantly increased inbound and outbound transportation costs, and we faced higher material costs and labor costs. All these cost pressures is a result of continued unfavorable impact of the COVID-19 pandemic on all parts of the supply chain. As a reminder, last year’s group’s profit margin of 25.5% was significantly higher than our historical range as we benefited from the very strong pandemic-driven revenue growth in the U.S. and Canadian markets. Our gross profit margin in the current quarter decreased to 18.4%. The global container shipping industry continues to operate under severe constraints. Extremely high consumer and importer demand continues at a time when the industry has not fully ramped back up from last year’s scaled-back operations. This has cost capacity shortages, which in turn has caused rates to continue to set new highs. Transportation supply chain disruptions also include significant congestion at U.S. ports and rail yards, further driving up transportation costs. The pandemic also has created a shortage of truck drivers and chassis, which has an unfavorable impact on outbound freight to retail customers. We are continuing with our efforts to mitigate the challenges and have allocated significant team resources to manage through each of them. We’re working closely with our suppliers and retail partners to meet customer and consumer demand. We’re taking actions such as increasing lead times, prioritizing production needs, expanding inbound and outbound transportation flexibility and implementing price increases. Our selling, general and administrative expenses increased to $27.5 million compared to $24 million in the second quarter of 2020. We incurred $1.2 million of costs related to the relocation of our distribution center. Additionally, our expenses for outside service and personnel-related expenses increased. Last year, when the pandemic hit, we put a freeze on discretionary spending, including filling open positions. As we saw demand increase, we began to fill the open positions, either with outside services or permanent hires. Our new distribution center is a 1.1 million square foot facility that we are leasing and is not far from our former facility. The old lease was due to expire this year. And as we considered options, we decided we would stay in the general area for a few main reasons. We can efficiently and effectively serve our current customers throughout the U.S. from this area. We have a great team in Mississippi, and we wanted to stay close enough to our current location so we could retain all or most of our employees. We believe this area has many other benefits, including a strong talent pool, excellent infrastructure, a business-friendly environment and local and state governments that are investing in keeping all these elements strong. Our new site has several upgrades that will make it more energy-efficient than our current facility, and it includes improvements that will allow us to have a more efficient warehouse operation. Turning to our bottom line, operating profit was $900,000 compared to $10.9 million last year. Net income from continuing operations was just above breakeven or $0.01 per share. This compares to net income from continuing operations in the prior year of $8.1 million or $0.59 per share. Cash flow before financing activities for the 6 months ended June 30, 2021, was $800,000 compared to $19.7 million. Capital expenditures were $7.6 million, primarily for investment in our new U.S. distribution center. This amount was partially offset by $4 million of lease incentives and tenant improvement allowances, which are classified as cash provided by operating activities. This compares to $1.6 million of capital expenditures in the same period last year, primarily related to our ERP system. Net working capital increased by $71.8 million and reflected an increase in inventory and trade receivables partially offset the higher accounts payable. Increased inventories due to our planning for anticipated continued strong demand as well as the ongoing disruption in the transportation supply chain that has increased the amount of inventory on hand. Higher trade receivables are mainly attributable to the increased sales in the second quarter. Net debt at June 30, 2021, was $98.1 million compared to $40.2 million in the prior year and $96 million at year end and reflects the changes in net working capital. As a reminder, prior year net debt was significantly below our historical range as pandemic-driven retail customer and consumer demand depleted inventory and our shelves were nearly empty. Next, let me turn to our outlook. As we have indicated, demand for our retail and commercial products are expected to remain strong throughout 2021, assuming no drastic lockdown measures related to the COVID Delta variant. We are pleased with the placements and promotions that have been secured for the holiday selling season. The challenge we are facing is our ability to satisfy the anticipated strong demand as ongoing pressures in the global supply chain continue to affect importers in a wide range of industries. We expect to face challenges getting all the products we need timely and at acceptable cost. Due to the limited visibility created by near-term volatility in the operating environment, we determined that it would be imprudent to provide a specific outlook at this time for second half revenue and upgrading profit. We expect to gain a deeper understanding of inflationary pressures and supply chain disruptions, especially as our company and the industry enter the peak holiday season. We plan to provide an outlook for the full year when third quarter 2021 results are announced. That concludes our prepared remarks. We will now turn the line back to the operator for Q&A.
Operator: Thank you.  Your first question comes from the line of Justin Kleber from Baird. Your line is now open.
Justin Kleber: Hey, guys. It’s Justin Kleber. Thanks for taking the questions. Hope everyone is doing well.
Greg Trepp: Hey, good morning, Justin.
Justin Kleber: The first one on margins and the cost pressures, Greg, you talked about implementing price increases, but it sounds like you aren’t necessarily expecting price cost neutrality this year. I mean, is that a fair characterization? And then just maybe any benchmarks in terms of how much you are raising price across the portfolio?
Michelle Mosier: Well, Justin, I will start and then maybe Greg and Scott can jump in. To a large degree, during the second quarter, the negative margin impact was really a matter of timing. While we expected some of the cost pressures and we developed pricing actions to offset those, the cost impact to Q2 before some of the price increases went into effect. So we believe that in the back half, we will benefit from the price increases. There continues to be a lot of uncertainty to the industry. And so we have taken action for what we can predict and what we know, but the unknown is still out there.
Greg Trepp: And just to build on that, I think the biggest part of the ongoing gross margin percent, as Michelle said, is timing. We had planned on a certain level of increase we implemented into that June and July. As certain other costs escalated, we added more in August. So that should benefit in the back half. There was some hit to the margins, and that related to some of these transportation costs and congestion-related charges that either showed up in gross margin or in our expense lines. And that’s the part where we think we’ve got ways to avoid that going forward, but that’s probably the biggest part we’re going to watch. If that gets to be challenging to deal with, then we might get hit with some more in the back half. And if we can keep it under control, then really we should see the margin come back up as these price increases kick in. So just trying to be careful as a lot of the congestion are just things we can’t control. So we don’t want to predict what might happen in the environment where we can’t control all the variables.
Justin Kleber: Okay. Yes. Now, that makes sense, Greg, obviously, a very, very fluid environment. As you think about – it sounds like to me, your retail partners are obviously working with you guys and accepting price increases. I mean, clearly, you’re not the only ones pushing through price right now. My question is just around how sticky price increases have historically been within your business within the industry. If and when these input costs come down, do those price increases hold and therefore, you see actually margin tailwind if and when some of these cost pressures start to rescind a bit?
Scott Tidey: Hey, Justin, this is Scott. So I will say that the – we have been fairly successful in executing the price increases out there. We are definitely experiencing the same thing that many of our competitors – and even our retailers who source a lot of product on their own, they are also seeing the same challenge. Typically, being able to predict how long the margin sticks after costs start coming down is really hard to do. Usually, the competitive environment, you have to make sure you’re not going to lose placements and you have to react to that. So it just depends on how quickly the commodities and the current sea change that tells you how much you’ll be able to hold on to that or whether you’ll be just back to margin-neutral. So I think it really varies based on what the competitive environment is seeing.
Greg Trepp: Just to build on it, Justin, I am sorry to interrupt, but I think Scott described it very well. And when things move quickly, sometimes it takes a little time to catch back up, which is kind of what we’re doing now. And then as they come down, maybe we can stay ahead of it for a period of time. We’re going to end back up in that range we usually do. If you look back historically where our gross margin has been, we feel like there is a band there that we are in and can get back into. And then just where we are in that band really depends on the factors that Scott talked about.
Justin Kleber: Got it. Okay, that’s helpful. And then in terms of the U.S. and Canadian consumer business and the revenue profile there, it seems like the industry demand is growing even relative to last year. So I guess if you guys look at your sell-through at retail, is that also taking place whereas your sell-through is growing relative to last year and you just simply can’t satisfy or refill the channel based on kind of these inventory constraints? Am I thinking about that the right way or is that logic off-base?
Scott Tidey: I think, Justin, again, this is Scott. I think, in general, if you look at the large retail, all retailers that are in both Canada and the U.S., they are all being challenged with in-stocks right now and that varies by the different supplier. So, there is some need of just getting these retailers back in stock to their normal store levels. But at the same time, demand is still really strong. I think most people would say that they have cutback on promotional spend because supply has been tight. So I think that’s another thing that will – certainly, we expect to see as more inventory starts to show up at store, we will start seeing more promotions and trying to make sure that consumer continues to come back in and shop. So we still feel optimistic about the back half of the year. We think the consumers’ habits have changed permanently and that they will continue to be needing and using appliances and gifting more than they have in the past. And so we expect that demand to continue and we still have some out-of-stocks to fill up as well.
Justin Kleber: Okay. And then just one final question for me guys, in terms of the partnerships that you have announced, very interesting developments there. Is there anything you can share just on how the economics of these work? I mean do you guys recognize 100% of the revenue and you pay a royalty or does this revenue show up in that licensing revenue that you disclosed in your SEC filings, just trying to understand the potential magnitude of the impact on your top line if these partnerships really take off? Thank you.
Michelle Mosier: Yes. So Justin, this is Michelle. And the two that we recently announced will behave differently. For Clorox, it truly is a licensing agreement. So we will recognize all of the revenue there and pay a licensing fee similar to how we treat Wolf Gourmet and CHI. With HealthBeacon, it’s a little bit more of a – I want to say, it’s not defined as a partnership, but similar to that. We will take responsibility and own the inventory and sell it. So we will get the top line growth there, but we will be sharing in the profits with them a little bit more evenly. So it won’t be a licensing fee, but the profit will be split, at the end of the day, evenly with them.
Justin Kleber: Okay. Thank you for that, Michelle and thanks again guys. Best of luck over the back half of the year. Appreciate the time. Thanks.
Greg Trepp: Thank you, Justin.
Operator:  Speakers, I am seeing no further questions in the queue. I’d now like to turn the conference back to Greg Trepp for closing remarks.
Greg Trepp: Thank you. In the second half of 2021, we are fortunate that demand for our retail and commercial products remain strong. Longer term, we expect our strategic initiatives to drive revenue growth, operating profit margin expansion and strong cash flow. We are a leader in our industry and there is proven durable demand beyond the pandemic-driven surge we have been experiencing. Our strengths should enable us to maximize performance, including our broad portfolio of trusted brands, our comprehensive offering, our experienced team, our global infrastructure, our broad range of retailer relationships across all channels and our well-developed e-commerce capability. Our team is doing an incredible job for our customers and our company. Thank you again for joining our call today.
Operator: This concludes today’s conference call. You may now disconnect. Thank you for participating.